Operator: Good morning. My name is Leane, and I will be your conference operator today. At this time, I would like to welcome everyone to the Rogers Corporation Third Quarter 2014 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers remarks there will be a question-and-answer session. (Operator Instructions) Thank you. Bill Tryon, Director of Investor and Public Relations, you may begin your conference.
Bill Tryon: Thank you, Leane. Good morning everyone. And thank you for joining us. The slides for today's call can be found on the Investor section of our website, along with the news release that was issued yesterday. Turning to Slide 2, on the call today will be Bruce Hoechner, President and CEO; David Mathieson, Vice President and CFO; and Bob Daigle, Senior Vice President and CTO. Please turn to Slide 3. Before we begin, I would like to point out to all our listeners that statements in this conference call that are not strictly historical are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, and should be considered as subject to the many uncertainness that exist in Rogers' operations and environment. These uncertainties include economic conditions, market demands and competitive factors. Such factors could cause actual results to differ materially from those in any forward-looking statement. Also the discussions during this conference call may include certain financial measures that were not prepared in accordance with Generally Accepted Accounting Principles. Reconciliation of those non-GAAP financial measures to the most comparable GAAP financial measures can be found in the slide deck for today's call, which can be found in the Investors section of our website. I will now turn the call over to Bruce Hoechner.
Bruce Hoechner: Thank you, Bill. Good morning, everyone. As I am sure you seen by now Rogers had another terrific quarter. Sales margins and earnings all exceeded guidance. Turning to Slide 4. In Q3, we achieved an all time quarterly sales record of $163.1 million, up 14.2% over the prior year outperforming our target of 10% sales growth. In addition, our commitment to improving our operational efficiency led to an all time quarterly record in gross margin of 39.6%, an improvement of 380 basis points as compared to the third quarter of 2013. We also achieved a record operating margin of 17.4%, a 410 basis points improvement compared to the prior year measure. This operating margin performance surpassed our goal of 15%. Overall, as you can see from this slide, we had an outstanding Q3, delivering earnings per diluted share of $1.09, the highest in the company's 182 year history on a comparable non-GAAP basis. The third quarter of 2014 also marked our seventh consecutive quarter of year-over-year sales growth. Before we turn to our business segment highlight on Slide 5, I want to step back and review our company's progress to this point. In 2012, we began what we call our transformational journey. Our goal to enable Rogers to deliver consistently strong revenue and profit growth. 2013 was a watershed year. We established our five years strategy and to find our long-term goals of 10% plus organic sales growth, and an operating margin of greater than 15%. We also initiated a number of actions including streamlining initiatives and investments in marketing, R&D and operational excellence. In the second half of 2013, our efforts began to pay off. In 2014, we built our net momentum delivering improvements across many key performance metrics including revenue growth, gross margin, operating margin and working capital. I believe our focus on operations, our participation in select higher growth global market and our innovative market driven solutions will drive continued strong performance into the future. Turning to Slide 5. You will see our quarterly highlights by business segment. For the quarter, all three business segments contributed to our growth led by Printed Circuit Materials or PCM. Our PCM business segment provides our customers with innovative, unique print circuit board laminate materials with exceptional electrical performance and tailor properties. PCM is having an incredible year in 2014, and achieved another growth record this quarter with a 34.5% increase in sales over the prior year. This quarter our business results were driven by significant demand for 4G/LTE wireless infrastructure power amps, wireless antenna as well as automotive safety sensors and applications importable electronics for improved internet connectivity. As we look forward, we see strong growth drivers for the 4G/LTE market area. The recent Chinese government approval to expand the 4G/LTE mix domain trial to 24 new cities in addition to the original 16 cities heightens expectations for the 4G/LTE base station built-out in 2015 by China Unicom and China Telecom. In addition, China Mobile will continue to add to their 4G/LTE network. We are starting to see 4G/LTE demand growing in markets beyond China such as India and Europe. In automotive safety systems, we are at the early stages of this growth market with only about 5% adoption worldwide of new car production. Clearly, the strong consumer demand for this feature will accelerate broader adoption of this technology. In the Power Electronic Solutions or PES segment, we are for high efficiency power module substrate and highly engineered busbars to meet the ongoing trend of greater electrification and automation. Our exceptional engineering skills are used extensively by our customers to support their complex design needs. The third quarter sales increase of 2.5% for PES was led by strong demand in EVHEV vehicles, rail proportion, energy efficient motor control applications and vehicle electrification or x-by-wire applications. These increases more than offset lower demand in laser diode and certain renewable energy applications. As we look forward, we see continued opportunities for unique solutions and clean energy specifically in the EVHEV motor control and automotive electrification applications as well as rail. Our High Performance Foams for HPF segment provide specially engineered impact cushioning and selling materials for applications where unique performance characteristics are required. In Q3, HPF sales increased 5.1% primarily due to higher demand in its general industrial segment, battery applications for hybrid and all electrical vehicles and consumer comfort and impact protection applications. Growth in these areas offset lower demand in portable electronic applications. We see additional opportunities for growth in our HPF product lines through geographic expansion in Asia and Europe as well as in the rapidly growing consumer applications area. The diversity of Rogers' three core business segments helps to moderate the impact of unfavorable business performance in any one market sector. We saw this play out over the past 18 months as sales in HPF would negatively impacted by design modifications and certain portable electronics applications. As a company, we were able to counterbalance these sales decline by sales gains made by PCM as well as through our strong sales growth in other HPF segment such as consumer comfort and impact protection and general industrial applications. On Slide 6, you will see an overview of net sales performance by market. For the third quarter, 61% of Rogers' sales were in our strategic megatrend categories. Again, reinforcing our belief that we are focused on the right market and have strong sustainable global demand. We saw strong growth in both internet connectivity and mass transit categories. While we remained essentially flat in clean energy. In internet connectivity, we continue to see significant demand for high frequency circuit materials to support wireless base station and antenna applications in connection with the previously mentioned global 4G/LTE infrastructure built-out. In addition, we experienced continued demand for high frequency circuit materials and applications that improve wireless connectivity and portable electronics. In mass transit, we experienced a 20% increase overall based primarily on demand in rail proportion applications specifically in Europe and China. Our flat performance in clean energy category was due in part to the very strong comparator quarter of Q3, 2013, as well as lowered demand for certain renewable energy applications during Q3, 2014. This lower demand was offset by strong growth in hybrid electric and all electrical vehicles, mass transit, energy efficient motor control applications and vehicle electrification applications. Beyond our strategic megatrend categories, we continue to build momentum in radar based automotive safety systems where we had a 34% sales increase over the Q3, 2013. In addition, we continue to see solid growth in the consumer comfort and impact protection category which was up 22%. We believe our megatrend design opportunity pipeline is a helpful indicator of future sales growth prospects. And in Q3, it continues to strengthen. We had 859 opportunities under evaluation in Q3, 2014, up from 671 in Q3, 2013 and up from 834 in Q2, 2014. We also moved 45 projects into production this quarter. Turning to Slide 7. I want to share with you our blueprint for delivering consistent profitable growth. Rogers' core strength is our ability to provide engineered material solutions for the most demanding applications and highly specialized designs. We marry this strength with the focus on applications in higher growth markets, which are driven by the megatrends of internet connectivity, clean energy and mass transit. There are four critical elements to our strategy. We take a market driven approach across the company. Our employees are actively engaged in understanding customer and market needs and aligning our actions to deliver differentiated value for our customers. Our teams regularly collaborate with key customers and industry contacts in order to fully understand current requirements as well as future needs. Our goal is to ensure Rogers is providing highly valued product and services with the right performance at the right time. Our investment in the Rogers innovation center at Northeastern University demonstrates, we are creatively and cost effectively develops innovative technologies to meet market demand. We continue to increase our investment in R&D as well as enhancing our stage gate process to enable greater speed to market on products that we believe will have a significant impact. Our third element is synergistic M&A where we are targeting companies that are aligned with one or more of our current businesses. Our objective is to enhance our market reach and technology platform capability. The final element of our strategy is our operational excellence where we are implementing continuous improvement approaches through lean, six sigma, Kaizen and other leading methodologies. These efforts have already led to improve manufacturing yields and greater efficiency and effectiveness of our supply and demand planning capabilities in manufacturing. We are starting efforts to gain further efficiencies in our work processes particularly in our finance organization through our IT system improvements. And we are working to standardize those processes across divisions and locations in order to more efficiently and cost effectively scale the company as we grow. At the bottom of the slide, you will see our three year goals. As previously mentioned in Q3, 2014, we outperformed our 10% sales growth goal as well as our 15% operating margin goal. We will review our annual return on invested capital ROIC result for 2014 when we report our annual earnings in early 2015. We believe we have a winning, sustainable approach that as we've seen is already yielding strong results. I will now turn the call over to David to report our financial highlights.
David Mathieson: Thanks, Bruce. As reported in the press release, we achieved earnings from continuing operation of $1.09 per diluted share, net sales of $163.1 million. We estimate approximately $3 million of sales was build into the third quarter due to some customers in China taking inventory headway in anticipation of the October holiday in the fourth quarter. Earnings from continuing operations exceeded gain due to stronger sale, margin improvement as a result of operational efficiencies, favorable absorption, product mix and improved yield and the lower tax rate due to favorable mix of earnings that more coming from lower tax jurisdictions. Coming to Slide 9. As Bruce mentioned we had record quarterly sales in Q3 of $163.1 million with growth of 14.2%, driven by Printed Circuit Materials growing 34.5%, a strong demand in wireless infrastructure. Power Electronics was up to 9% and we have the second consecutive quarter of growth in high Performance Foams of 5.1%. Gross margins came at a record 59.6%, up 370 basis points from prior year, non-GAAP gross margin of 35.9% driven by 175 basis points in prevalent from incremental volume and 195 basis points from operational efficiency. On Slide 10, our S&A increased this quarter from 17.8% to 18.5% of sales. S&A came at $30.2 million for the third quarter of 2014, at the level we have projected. S&A include $1.3 million of the Rogers Work Smart business system expense we discussed last quarter. The third quarter spending for this project was $2.4 million but certain charges were able to be capitalized. The increase over in S&A over the period is primarily due to increases in sales and marketing activities, M&A evaluation opportunities and other S&A related costs. Research and development expenses were $6 million or 3.7% in the third quarter of 2014, compared to the $5.2 million or 4.8% experience in the third quarter of 2013. The lower percentage is primarily related to the impact of the quarter-over-quarter sales growth. Total gross spending did increase in the second quarter of 2014 by approximately $0.6 million due mainly to investments in the Rogers innovation center. On Slide 11, operating profit margin increased by 300 basis points compared to the non-GAAP operating profit percent of the third quarter of 2013. This record result of 17.4% was due to the strength of gross margin increases offset by an increase in commercial expenses of 70 basis points. Diluted earnings per share increased by 32.9% from a non-GAAP $0.82 in 2013 to $1.09 in 2014. With operating income adding $0.28 and a lower tax charge of $0.04 offset by share count dilution of $0.05. On Slide 12, PCM achieved all time record sales for the quarter of $63.4 million, up 34.5% from Q3, 2013. And operating income improved by 140.7%. The sales increase was driven by growth in wireless infrastructure and antenna applications where profitability was favorably impacted by strong operating leverage and incremental sales volume. On Slide 13, growth in HEV mass transit and the energy efficient motor control applications in the Power Electronic Solutions business were offset by lower demand in laser diode and certain renewable energy applications. Sales were up 2.5% while operating declined by 3.3% in the quarter, primarily due to an increase in allocated S&A cost partially offset by the profit contribution and the increase in sales. On Slide 14, high performance foams grew 5.1% in the quarter driven by strong demand in HEV, general industrial and consumer comfort and impact protection. Offset by lower demand into portable electronics which is mobile internet devices and feature phone applications. Operating income was $8.4 million was up 12.7% in the quarter. On Slide 15, we continue to generate cash and pay down our debt. Cash flow from operations for the first nine months was $57.5 million, the capital expenditure of $18.8 million and repaid debt of $12.7 million. We ended the quarter with our cash balance of $228 million and a debt balance $65 million. Guidance for the fourth quarter is for our revenues to be in the range of $147 million to $154 million. And for non-GAAP net income from continuing operations per diluted share of $0.64 to $0.76. [We check for] its projected special charges of $0.17 per diluted share related to the LA payment of certain long-term pension obligations. We expect to take non-cash charge of about $0.17 per diluted share as the offer set in eligible former employees, a cash offer to buy the same pension plan. We are also moving this quarter to allocate more pension plan asset from equities to fixed income. Both of these actions are expected to further register risk associated with our pension plan. These actions have no significant cash impact on the company. And a mid point, our Q4 guidance represent a sales increases of $14 million or 10.5% over Q4 of 2013. As a non-GAAP EPS mid point of $0.70 per diluted share, this guidance shows a decline of $0.11 per diluted share compare to the non-GAAP EPS in Q4, 2013. These savings is due to several reasons including firstly, $0.08 per diluted share of incremental S&A expense which include actions we have already taken to streamline our organization and estimates for additional strategic activity. Secondly, $0.07 per diluted share of incremental R&D expense attributable primarily to the ramp up of activity at a newly established innovation center. Thirdly, $0.10 per diluted share of incremental tax expense as a Q4, 2014 tax rate is forecasted to be approximately 12 percentage point higher in Q4, 2013 where we had non occurring event resulting in a distinct tax benefit. And fourthly, $0.04 per diluted share impact related to the increase number of shares outstanding. These reductions were partially offset with the contribution on the increased net sales. Lastly, this guidance takes into account estimated P&L spending on Rogers Work Smart business systems of approximately $2 million in the quarter. This completes my commentary and I will now turn the call back over to Bruce.
Bruce Hoechner:  All right. Thank you, David. Leane, we can go to questions now.
Operator: (Operator Instructions) Your first question comes from the line of Avinash Kant from D.A. Davidson & Co. Your line is open.
Avinash Kant – D.A. Davidson & Co: Good morning, Bruce, David, Bob and Bill. Few questions starting with just some understanding of the telecommunication business like you talked about pretty strong growth in your base station infrastructure and 4G antenna businesses. Could give us some idea, these two combined, how big were they as a percentage of your internet connectivity segment?
Bruce Hoechner : Okay. Well, let me take a quick look at that. But just to give you some background here. And one of the issues that we heard about from some of the investors is concern about future growth in this market. And as outlined with some of the changes that have gone on in the built-out in China, we are now getting all three of the carriers moving to 4G/LTE which are a really great move. We think that this extends the runway at least two, three, four years out and as we --as I also mentioned, India is starting to move forward. Reliance, GEO, a new carrier there will be moving forward on 4G/LTE towards the end of 2015. So we see that starting to built-out over the time period. As a matter of fact, they are projecting 800,000 new base stations over the next five years in India. So that's a really good number for us to look at. About just getting back to your original question about half of PCM is in those market applications.
Avinash Kant – D.A. Davidson & Co: Okay and then again and you touched upon this one but if you think of adoption in China, you had talked about certain number of base stations and now with the new -- the changes and the high number of cities, where do you see the number of base station going?
Bruce Hoechner : I don't have the specific data for next year. But I can tell you like China Mobile this year said they are going to build a half million base stations which they already did through the first three quarters of the year. They have added another 200,000 net; they are trying to get in by the end of this year. And then as we move forward we see them continuing to build that out. And so we don't have specific numbers from China Unicom and China Telecom and what they are building out, but we know that they have to go into the 24 additional cities to the 18 that we identified in my text.
Avinash Kant – D.A. Davidson & Co: So as we think of this extending for two to three, two to four years maybe what percentage of the adoption do you think is already happen especially in China?
Bruce Hoechner : We are estimating right now about 25% adoptions. Actually beyond that it is not just in China, that's globally right now, 25% adoption and let's remembers also that there has been almost no adoption in Europe. They are still on 3G.
Bob Daigle : Yes, Avinash, this is Bob Daigle. What I have read is, it is roughly 25% penetration and the projection is over the next couple of years, I think the number was 2016 that they gets up to 50%, so this is still -- we would characterize this is the early innings of the LTE rollout. The other thing that's a key factor and again I think we all noticed that when we are in the city then you really can't use your mobile internet device because the networks are choking. I think that we would also expect that the incremental capacity is going to play into this pretty significantly over the next few years just because of bandwidth constrain.
Avinash Kant – D.A. Davidson & Co: Okay. My second question was on the gross margin side. You really saw a big bump and if we were to think of contribution coming from certain segments, which segments did contribute to the higher gross margin particularly?
David Mathieson: All of the segments actually, Avinash, we had a standard result in each of the segments. I would see and the star in the quarter from a margin perspective though is probably High Performance Foams.
Bruce Hoechner: Yes. Let me also add to that in the PES business I mean it's no secret that the operating margin there is a lowest in the company. And we continue to work in that business to find ways to improve profitability, in the Curamik product line, we've relocated some of our manufacturing processes to Hungary. And we continue to look at opportunities to reduce costs there. And also do what we can on the market side with new innovative products. Let me just point out that PES remains our focus for improving and working through some of those margin issues.
Avinash Kant – D.A. Davidson & Co: Okay. So basically what you are saying is that if revenues and mix were to be similar, you should be able to repeat this margin performance that you had?
David Mathieson: Well, the third quarter we had tremendous volume. We surprised ourselves by having good these results. We beat record sales, record gross margins, and record operating margins record, EPS, we did not forecast that. So we surprised ourselves on the outset. So we have tremendous incremental margins. But as we go into Q4, there is as seasonal dip in revenues and I would say normally this is our margin, Avinash.
Avinash Kant – D.A. Davidson & Co:  But you didn't see any meaningful change on the pricing side as such right? It was just volumes going up.
David Mathieson: Yes. Correct.
Avinash Kant – D.A. Davidson & Co: Okay. And two quick numbers. Did you give out the D&A numbers for the quarter and also the tax rate for Q4?
David Mathieson: D&A for the quarter as depreciation of 5.1 and amortization of 1.6. And the fourth quarter tax rate is 22%.
Operator: And your next question comes from the line of Daniel Moore from CJS Securities. Your line is open.
Daniel Moore - CJS Securities: Good morning. Thanks for taking the questions. Maybe want to focus, Bruce, for a moment on the foams business a little bit. It appears to be turning the quarter, second consecutive quarter of year-over-year growth. Maybe just talk about the change in mix that's taking place, handheld, they obviously still down a bit. What is that represent as a percentage and maybe kind of holding on some of the growth drivers hybrid electric, bigger drivers and what the outlook looks like in that segment going forward?
Bruce Hoechner : So just on the mix, your question about portable devices. It is about one third of the sales of HPF. And so we see -- what we see is we continue to invent and introduce new products into that market. And things like Condux Plus which is a conductive phone; we are getting some very good reads out there from the market place. But what I would say also is we are seeing very high growth over on the consumer side as well as on the industrial side. And I said in my comments that where we see the growth opportunities. In some cases, our geographic and basically replicating what we have done in North America particularly in the industrial area, into Europe and into Asia. Historically, our focus in Asia is specifically had been a lot of mobile internet device. And now we are really moving towards much more balanced approach with both consumer as well as industrial, especially industrial applications.
Daniel Moore - CJS Securities: Very helpful, thank you. And I wanted to turn to R&D actually declined as a percentage of revenue a little bit. Obviously that reflects the strong volumes in revenues but how should we think about that ratio as we look out to 2015?
Bob Daigle : Yes. Dan, this is Bob Daigle. Yes, we are again I think what we talked about as a roadmap is, think of it as a roughly 4% of sales investment in R&D with incremental projects that are going to come out of the innovation center that -- these are just discreet opportunities that we are going to invest into commercialize, but I think as you think through -- I would think of 2015 in the 4% to 4.5% R&D investment range. And with the long-term roadmap as we add discreet project that we are investing in, we are going to work our way towards 6%. But that's going to take some time.
Daniel Moore - CJS Securities: Got it, perfect, very helpful. And also other just generally other projects be it IT, you are investing $2 million a quarter in Q4, other investments that we should think about or keep in mind as we look out to 2015?
Bruce Hoechner: Well, in terms of capital investment, we are expanding and specifically in the PCM business. We are adding a line towards the end of this year in Arizona. We are putting another press into [Seuzo] in the early part of 2015. So we continue to make those investments, but that would be on the capital side. In terms of expenses, my view right now is we are really focused on improving our IT systems and our processes. So as we've outlined before, you can count on that going forward for probably the next six to eight quarters as we continue to improve that system. And remember, the way that we are looking at this is we want to standardize as much as we can across the company to be able to leverage and built upon that standardization as the company grow. So we don't have to grow SG&A or the S&A at commencer with the top line growth that we can differentiate and get that benefit of process standardization.
Daniel Moore - CJS Securities: Got it. And, Bruce, it is obviously always difficult to give color but you are up to nine bucks a share almost in net cash in the balance sheet over $200 million. Talk about M&A obviously has been a pillar of your growth strategy. Without naming names is there anything you can say about how the environment and your confidence around the ability to execute on an opportunity over the next few quarters? And if not, would you explore other usage of cash on the balance sheet?
Bruce Hoechner: So the way we approach, we have target -- we spend a lot of effort analyzing where we can find -- what we would call synergistic opportunities for the company. And we got a very, I would say robust list. We continue to work as evidenced over the last couple of quarters, some of the expenses that we've made and doing some diligence work on some of these opportunities. I would say right now that we are continuing to work and continuing to discuss with various folks. So you can never predict how these things will go, right. There is -- it takes two to tango and we are working diligently to do that. But I would say the opportunities are out there without a doubt. And so I am very positive, a very forward looking positive outlook on this. But you can never say when it is going to happen at this point.
Daniel Moore - CJS Securities: And any alternative uses?
David Mathieson : Well again we've a discussion and ongoing discussion with the Board, very potentially doing share buyback, I have been with -- I have been in two Board meeting and it has been topic of conversation at two Board meetings I have been having so that's something we are looking at in combination with other things such as acquisitions. So we are having ongoing discussions with the Board of Directors.
Bruce Hoechner: Yes. And I would say we view investments in synergistic acquisitions as the priority for us. But there is also -- we have had share dilution which we hear from our investors concerns them and so that's a part of the discussion that we are having with the Board, is there any opportunity there as well. But again these discussions will continue.
Daniel Moore - CJS Securities: Okay. And lastly, just in terms of visibility, it is obviously though it has been a challenge and it will remain a challenge, but the clearly a pretty significant the versus your expectations. And David you mentioned, you were frankly surprised, what were the areas where you were most surprised both in terms of revenue and margin? And really just trying to get a gauge of how much of it is conservatism versus how much it is -- you really just had a lot more revenues coming towards the end of the quarter?
Bruce Hoechner: Well, let me talk about the revenue. I'll let David talk about the profit side. But fro the market perspective, we had cooling because of the China holiday in the first week of October. So there was a lot of pre buying that went on about $3 million or so of revenue that came in. Specifically in the PCM and the HPF businesses. So that was somewhat of a surprise. And sometimes we've seen it doesn't-- you don't get that pre buy. So that kind of bolsters the revenue. I'll just make a comment on the profitability on the gross margin particularly. As we've talked about we've been implementing a lot of operational focus in our operational excellence activities. Primarily around reducing or improving yields, improving throughput through our existing equipment. And when you consider that we had throughout the year as first three quarters, 35% sales increased in our PCM business, and we've been able to meet those needs of our customers. Some of that has come through all of that de-bottle neck in marking and process improvement which obviously helps the profitability the gross margins. So, David, any further comments?
David Mathieson : Oh, yes. I think with the second quarter of solid growth in High Performance Foams, but I need to tell the tremendous performance of PCM. It is a very few business season dip should improve our -- increase our volumes by 24%-25% year-over-year to meet the demand and to do it profitability is fantastic. We had a tremendous performance in PCM. And just overall, Dan, to our forecast of it, be all these records this quarter would have been, I think that been over optimistic on their part. So I think it's just that tremendous quarter.
Bruce Hoechner: One more comment on this. There was a view held by a number of suppliers into the 4G/LTE built-out. That thing in the third quarter would cool. We were at the early part of the built and we never saw that cooling. Although, we went into the third quarter with a little bit of concern about what we were hearing from other folks. But early -- I would say we started seeing that strength really come on in September. So we are very clearly seeing this continued strength on the 4G/LTE, both base station and for antennas as well. And so some of the stuff is hard to predict. And some of it we just, in a longer term it is all good for us. It's just quarter-to-quarter variation when the orders do come in.
Daniel Moore - CJS Securities: Quarters fairly demonstrate the operating leverage and earnings power. So thank you again for taking my questions.
Operator: Your next question comes from the line of Rich Glass from Deutsche Your line is open.
Rich Glass - Deutsche Asset & Wealth Management : Hey, guys, great quarter, congratulation. First, then try to feel all my thunder but following up on the foams business, that 33% I believe you said as the mobile business, has that stabilized here over the last couple of quarters? Or is that still under pressure?
Bruce Hoechner : There is still some pressure. But when you think about specifically on the tablets, we mentioned in previous calls the redesign, that's pretty well through. There is still noise going on but we won't see anything akin to what we've experienced on the tablet side. Certainly in the any short term, but what we are seeing though is some changes in design but we continue to get wins as well on the side of the mobile internet devices. So it's -- let's put it this way. That the storm has calmed down. We think we've got some interesting new products that people are looking at, that will also offset any smaller declines that we might see.
Rich Glass - Deutsche Asset & Wealth Management : Okay. So it's lesser headwind if anything?
Bruce Hoechner: Yes.
Rich Glass - Deutsche Asset & Wealth Management : My second question might be more of speech center question but from the view point of a major long-term shareholder here, we are looking at the situation with the capital allocation. And it is just horrible from where we are sitting. I mean your stocks flat on the year and you are putting up huge sales numbers and phenomenal quarters like this and the long-term is bright and getting brighter. And we are sitting on a huge pile of cash here with no end in sight of growing, and you are producing lot of cash, you don't have a big capital built coming that is any place on the horizon, and from a shareholder point of view, cash is earning zero, number one. Number two, I realized we are looking for M&A. Bruce; you have been in the CEO for three years. We've all been looking for deals from before the three year period you have been CEO as well. The other thing we are hearing is that large deals are very expensive and very competitive. And so that doesn't increase our confidence that we are not sure you are going to do a brilliant deal here if it is going to be some huge deal that you are going to bet the company on. So as a shareholder if it is just not getting it done with the capital allocation, you guys put up a phenomenal quarter here with a 5% wrote in the share count which just doesn't make any sense when we are sitting on pile of cash, that huge in-building. So is there any limit to the pile of cash that we need or is there a timeframe that we are looking at? We are going to say, okay, now is when we are going to do it. I mean if your Board needs an education on capital allocation, have them give us a call, we will be gland to spend some time on it. But as it is this is just not getting it done.
Bruce Hoechner : Okay. Well, Rich, first of all, thanks for the speech. My-- our view is look, we are patient, I know that there is frustration out there without a doubt. But we believe we have the right approach here. And I think patience in the end will prove to be something that the shareholders will highly value. And you can listen to me on this or you can choose not to listen to me on this. But I can tell you, I believe in the strategy that we are pursuing. Deals might be droopy but there is also a deal out there that we believe are very, very synergistic for the corporation. And so we are in endeavoring to make these things come to profusion. I'll ask David if you want some comment any more share buyback or anything like that.
David Mathieson : No. We hear you right and we felt that for our shareholders, and we are taking comments seriously.
Rich Glass - Deutsche Asset & Wealth Management : Well, I can think of nothing nicer than you guys proving me a 100% wrong. So good luck.
Bruce Hoechner: I hope we will.
Operator: And your next question comes from the line of Avinash Kant with D.A. Davidson & Co. Your line is open.
Avinash Kant – D.A. Davidson & Co: Yes. Just had a follow up question. You talked about the charges that you are going to be taking like there is a $0.17 charge one that you will recognize in Q4 and towards the non-cash pension settlement. I was just wondering once you take the charge, how would that impact the P&L going forward in 2015? What will be the impact of that?
David Mathieson: Well, the impact will be less volatility. We haven't work through our plan for next year but we don't expect a huge impact for the big thing from their point of view as we will dramatically resist the risks that we have in our pension fund. We have $176 million in a pension fund. Which is 59% in equities, we want to just add to 25% for example. And so that will take significant amount of risk and we are going for a liability driven investment strategy just to reduce the risk. So it is avoidance of risk that we are aiming for here, Avinash.
Avinash Kant – D.A. Davidson & Co: Okay. So the equity component will go down and hence the volatility enhances your payouts?
David Mathieson: Volatility, it is the risk of having an under funding pension plan will go down significantly as we listed this, liability driven investment strategy. So we are de-risking our pension plan.
Avinash Kant – D.A. Davidson & Co:  Your pension fund fully funded right now?
David Mathieson: Yes. So we are in good shape to do that.
Operator: (Operator Instructions) Your next question comes from the line of Dana Walker from Kalmar Investments. Your line is open.
Dana Walker - Kalmar Investments: Thank you. Good morning, everybody. The PES opportunity, can you frame it for us as you view it now from a top line standpoint and what portions of the underline mix would play what role?
Bob Daigle : Hi, Dana. It's Bob Daigle. So if you think about the some of the big pieces of our power electronics business, a good portion of it say roughly a third or so is being driven by the energy efficient motor drives which if you look at market reports, the projection there that's about 10% throughout industry. Another sizeable piece of that business is around vehicle electrification but in the expense of not necessarily EVHEV in this case but it's what often refer to is x-by-wire taking loads off the engine to improve fuel efficiency, which again has a very positive outlook, that's being rolled out very broadly by automakers as a way to meet the café fuel mileage requirements. You look at applications such as electric vehicles which have been strong and the outlook continues to be very strong in terms of volumes in that segment. So again when we look at the future of -- if you kind of you weighted average across our power business, we do believe that we've got some pretty nice tailwinds there, roughly 10% across the various segments.
Dana Walker - Kalmar Investments: With the obvious [malleus] that work in Northern Europe right now, what role is that in muting? What role is that playing in muting? Revenue growth fair presently.
Bob Daigle : Yes. I would say if you look at the quarter where we start some headwinds, were an application like the laser diode which is used in a lot of industrial welding, cutting applications. So I would say in the industrial equipment sector that experience some headwinds and one area that's always been volatile which we saw some -- it was a down in the quarter as volatility around some of the solar area in some partial segments. It was a kind of a mixed bag, I would say in the solar area. And again I don't know if you can attribute that directly to the [malleus] in Europe but globally that's mix growth in the quarter.
Dana Walker - Kalmar Investments: Can you speak to where you think you are on a return on sales ambition in that business? Or in that series of businesses
Bruce Hoechner: Well, we continue to work to move up the curve. There is -- one of the more difficult thing is that we have our -- all of our productions in Curamik, with the exception of some of inspection, in [Asian box], so it's a higher cost [Asian box] Germany, is a higher cost operation for us. But we continue to automate and do some process improvements there. So we believe that from a margin perspective, a gross margin perspective, we will start seeing some effect as we move through the next few quarters.
Dana Walker - Kalmar Investments: Bruce, how would you quantify the opportunity at the gross margin level?
Bruce Hoechner : I would say the opportunity that we are looking for is to get the gross margins up as an average around 30%, 30% to 35% for that business. So it will be a combination of pricing, new products that come into the market that we think we get a premium for. And it's a combination of --as outlined some of the efficiency work, that we are doing both in the Curamik side as well as the rolling side.
Dana Walker - Kalmar Investments: Are you willing to say where you are now? Difficult to get 30% to 35%?
Bruce Hoechner : You can imagine that it is not 30% to 35%, so we are somewhere in the 20s and we just going to move it higher.
Dana Walker - Kalmar Investments: Do you view that as a three year goal?
Bruce Hoechner: I would say two to three years. We believe that we have a path and plan to get there.
Dana Walker - Kalmar Investments: Second topic of conversation the Wi-Fi opportunity with tablets and handheld devices. How would you describe your penetration with given vendors thus far?
Bob Daigle : Yes. Dana, it is Bob Daigle. So we are still I think as we've talked about earlier, this technology to improve Wi-Fi performance is mostly being driven by one of the major tablet, major at this point and we continue to sample and work with others. But the majority of that volume right now is being driven by one of the big players. But across multiple platforms, it is not a single product application. They are multiple product lines that have adopted that technology.
Dana Walker - Kalmar Investments: So it's not just a tablet, it can be as well smartphone?
Bob Daigle : Well, it is actually is the tablet but it is across multiple tablet platforms.
Dana Walker - Kalmar Investments: Understood. And Bruce, while you are talking could you remind us what you are seeking to accomplish with Condux and where you think that stands in its adoption curve?
Bruce Hoechner : So it is being evaluated by a number of different equipment manufactures. And what it does it allows for grounding as well as protection, impact protection in mobile internet devices. And the beauty of the product is that it allows for thinner mobile internet devices. So it allows you to combine some -- the two functionalities and just make it thinner which are of course what we are seeing as a major trend.
Dana Walker - Kalmar Investments: Final thing and forgive me I am anticipate Bob not Bruce there, but, Bruce you handle that beautifully. One last thing on antennas. As you have been designed into antennas, whereas several years back that was not the case. To what degree does that antenna opportunity play out in synchrony with everything else you are doing with power amplifier or can they happen independently of each other where you have some type of an exist -- some of what you are doing with antennas can play out to a portion of the base station and installed base that is not newly configured?
Bob Daigle : Yes. So, Dana, again Bob. So I would say with a big driver on the antenna side has been and will continue to be is really moving towards multi band antenna or in some cases I think this is all going to head towards broadband antennas for -- in support of LTE. Why is that necessary? Because in order to get the bandwidth necessary, they are now either this -- there is an over dozen different frequency bands these days that are required to support things like LTE. So you either end up in a situation where you are putting up an awful lot of towers with an awful lot of antennas, or you need to start to migrate to more multi band antennas. And that's really what's driving the shift in the industry from what were traditionally antennas that were predominantly made from that dent metal cable to print circuit material based antennas. It is the fact that it is a lot-- if you are going to go to multi band technology, it is a very difficult to do with dent metal, so we are seeing this technology shift from dent metal to circuit materials. So I would say this is still very much in the early stages. And I do think it's not necessarily tied to the base station rollout. You could very easily see a lot of the antenna towers be retrofit with the broadband antenna even post LTE rollout.
Dana Walker - Kalmar Investments: Has that begun to happen?
Bob Daigle : Well, it is hard for us to see what that mix is, how much is new base station, how much is retrofit, but I'll tell you, our year-over-year growth in this segment was very impressive. We were up about 75% year-over-year for circuit materials and the antenna area. So it is definitely it surpassed what we saw in the power amp area. And that's been true all year.
Dana Walker - Kalmar Investments: When you say that you have a hard time seeing what exactly is happening at the micro level, do you have a feel for how many of the base stations that are either being newly built or being updated that you are seeing both of your applications play out rather than just one of the other?
Bob Daigle : I'll tell you, I don't -- we don't really have that visibility, Dana. I don't, yes because we are selling through different -- it is a different set of customers and ultimately those decisions are made, being made at service provider level. So we don't have great visibility there.
Operator: And this concludes our Q&A session for today. I now turn the call back over to our CEO, Bruce Hoechner, for closing remarks.
Bruce Hoechner: Thanks, Leane. In closing, we are very pleased with our record setting performance this quarter, which is a continuation of the success we've achieved since we began our transformational efforts more than two years ago. We believe that market indicators point to additional growth in several of our key categories including power amps, for the 4G/LTE built-out, antenna applications, automotive safety sensors, consumer comfort and impact protection and energy efficient power applications. We will continue to focus on operational improvements and our business systems and our process as well as manufacturing practices such as yield improvements and equipment productivity to sustain our gains and improve our margins. We believe that our four strategic elements, market driven, technology innovation, synergistic M&A and operational excellence represent a solid, go forward plan and will lead to sustain growth in 2015 and beyond. Thank you for joining us on today's call.
Operator: And this concludes today's conference. You may now disconnect.